Operator: Ladies and gentlemen, good morning, and welcome to the Natural Health Trends Corp. First Quarter 2024 Earnings Conference Call. 
 [Operator Instructions]
 As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michelle Glidewell. Please go ahead. 
Michelle Glidewell: Thank you, and welcome to Natural Health Trends' First Quarter 2024 Earnings Conference Call. During today's call, there may be statements made relating to the future results of the company that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results, performance or achievements could differ materially from those anticipated in such forward-looking statements through the result of certain factors, including those set forth in the company's filings with the Securities and Exchange Commission. 
 It should also be noted that today's call will be webcast live and can be found on the Investors section of the company's corporate website at naturalhealthtrendscorp.com. Instructions for accessing the archived version of the conference call can be found in today's financial results press release, which was issued at approximately 09:00 a.m. Eastern Time. 
 At this time, I'd like to turn the call over to Chris Sharng, President of Natural Health Trends. 
Chris Sharng: Thank you, Michelle, and thanks to everyone for joining us this morning to discuss our first quarter 2024 financial results. 
 With me today is Scott Davidson, our Senior Vice President and Chief Financial Officer. Our financial performance for the quarter reflects a $1 million rise in deferred revenue, resulting in a decrease in recognized revenue compared to the same period last year. We expect gradual recognition of this deferred revenue in the coming months as we fulfill orders to our valued customers. It's noteworthy that this quarter, we achieved sequential increase in orders taken during the first quarter over the preceding fourth quarter for the first time in 6 years. 
 Additionally, we achieved positive cash flow from operations that highlight the robustness of our business model and the resilience of our balance sheet. While we approached the Year of the Dragon with guarded optimism, these results underscore the effectiveness of our current strategies. We continue to emphasize innovation, customer satisfaction, leadership development and operational efficiency as we navigate our forward progress. 
 We believe that our core programs and initiatives started to show some positive effect in the first quarter. Members have thus far responded favorably to our year-long achiever bonus program, which provides them additional opportunities for cash rewards and qualification to attend future travel incentives. In addition, the effectiveness of our corporate driven, [ train the trainer ] program focused on building loyal product consumers and leaders of the future has been well received and attended. 
 In early March, we hosted 120 attendees in Xiamen, and we look forward to the upcoming session planned for the second quarter. We also resumed product road shows holding our first post-COVID 6-city tour, targeting one of our recently launched products, MetaBoost. These activities allow us to connect with more than 600 participants eager to learn more and share their experiences with this blood sugar support product. 
 In late March, we embarked on an incentive trip to Jiangxi province bringing close to 300 attendees together for team building and outdoor charity walk activities under our One Heart, One World charity program supporting primary schools in rural China. Beyond Hong Kong and China, India achieved year-over-year triple-digit growth spurred by the launch of our [indiscernible] new product in that market, along with a robust calendar of multicity road shows, online events and group meetings to promote product adoption and new member activity. 
 In Q1, our global markets held corporate-led online and in-person events and encourage smaller group team gatherings designed to share the business opportunity and our products with new prospects and customers. We anticipate these activities to continue into Q2 as the markets stay engaged and steadfast on their efforts to expand the business and reach new consumers. 
 To wrap up my comments, we remain confident in the underlying strength of our business as we approach the future with cautious optimism, our commitment to delivering exceptional products and maintaining strong customer relationships, positions us well for growth and shareholder value creation in the long term. And now I will turn the call over to our CFO, Scott Davidson, to discuss our financial results in greater detail. Scott? 
Timothy Davidson: Thank you, Chris. Total revenue for the first quarter was $11 million, a decrease of 8% compared to $11.9 million in the first quarter of 2023. As Chris mentioned, the decrease was entirely due to the changes in deferred revenue between the 2 periods. Deferred revenue increased $1 million in the first quarter this year and remained flat in the comparable period last year. Our active member base declined slightly to 31,620 at March 31 from 32,410 at December 31 and was down 18% compared to 38,330 at March 31 last year. 
 Turning to our cost and operating expenses. Gross profit margin declined slightly to 73.4% from 74.5% in the first quarter last year due primarily to an increase in product cost. Commissions expense as a percent of net sales for the first quarter was 41% compared with 42.1% in the prior year quarter. Excluding the impact of administrative fee revenue, commissions expense as a percent of net sales decreased slightly due to lower commissions earned outside of our Hong Kong business. 
 Selling, general and administrative expenses decreased to $3.9 million for the quarter from $4.2 million in the first quarter a year ago. The decrease in our SG&A from the prior year quarter reflects reduced employee-related costs and professional fees. As a result, operating loss for the quarter was $365,000 compared to $394,000 in the first quarter last year. Net income for the first quarter totaled $188,000 or $0.02 per diluted share compared to net income of $257,000 or $0.02 per diluted share in the first quarter of 2023. 
 Now I'll turn to our balance sheet and cash flow. Total cash, cash equivalents and marketable securities were $54.4 million at March 31, down from $56.2 million at December 31. Net cash provided by operations was $549,000 for the first quarter compared with net cash used in operations of $696,000 in the first quarter last year. I am pleased to announce that on April 29, our Board of Directors declared a quarterly cash dividend of $0.20 per share, which will be payable on May 24 to stockholders of record as of May 14. 
 In summary, we continue to be impressed, inspired and encouraged by the resiliency and dedication of our key leaders, loyal product consumers and hard-working teams around the world. We remain guardedly optimistic about the gradually improving operating landscape and its potential impact on our business. We are seeing some encouraging signs pointing in the right direction. 
 We are committed to maintaining a focus on prudent financial management and improving operational efficiencies in the months ahead. We extend our appreciation to all of our devoted members for the unwavering dedication to their business pursuits, our incredible product offering and for embracing our mission of fostering wellness traditions around the world. 
 That completes our prepared remarks. I will now turn it back over to the operator. 
Operator: Thank you. Ladies and gentlemen, this concludes the conference of Natural Health Trends Corp. Thank you for your participation. You may now disconnect your lines.